Operator: Greetings. Welcome to the Piedmont Office Realty Trust First Quarter 2025 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Laura Moon. You may begin.
Laura Moon: Thank you, operator, and good morning, everyone. We appreciate you joining us today for Piedmont's first quarter 2025 earnings conference call. Last night, we filed our 10-Q and an 8-K that includes our earnings release and our unaudited supplemental information for the first quarter of 2025 that is available for your review on our website at piedmontreit.com under the Investor Relations section. During this call, you will hear from senior officers at Piedmont. Their prepared remarks followed by answers to your questions will contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements address matters which are subject to risks and uncertainties and therefore actual results may differ from those we anticipate and discuss today. The risks and uncertainties of these forward-looking statements are discussed in our press release as well as our SEC filings. We encourage everyone to review the more detailed discussion related to risks associated with forward-looking statements in our SEC filings. Examples of forward-looking statements include those related to Piedmont's future revenues and operating income, dividends and financial guidance, future financing, leasing and investment activity and the impacts of this activity on the company's financial and operational results. You should not place any undue reliance on any of these forward-looking statements and these statements are based upon the information and estimates we have reviewed as of the date the statements are made. Also on today's call, representatives of the company may refer to certain non-GAAP financial measures such as FFO, core FFO, AFFO and same-store NOI. The definitions and reconciliations of these non-GAAP measures are contained in the earnings release and supplemental financial information which were filed last night. At this time, our President and Chief Executive Officer, Brent Smith will provide some opening comments regarding first quarter 2025 operating results. Brent?
Brent Smith: Thanks, Laura. Good morning, everyone and thank you for joining us today as we review our first quarter 2025 results. In addition to Laura, on the line with me this morning are George Wells, our Chief Operating Officer; Chris Kollme, our EVP of Investments; and Sherry Rexroad, our Chief Financial Officer. We'll have the usual full accompanying of our management team available to answer your questions as well. We are very pleased with our solid start to 2025 completing approximately 363,000 square feet of total leasing during the quarter, with roughly half related to new tenant leases. The overall volume is especially encouraging given that the first quarter is typically the slowest quarter of any given year and the leases executed were spread throughout the portfolio, with almost every market executing at least one lease for 10,000 square feet or greater. Further, leases executed during the quarter reflected double-digit rental rate roll ups on both a cash and GAAP basis. And additionally, as we disclosed on last quarter's call, we completed our last bit of required refinancing activity during the first quarter, including paying off a $250 million term loan that was scheduled to mature in March and extending our $600 million line of credit. As for broader market commentary, the occupier market recovery appears to be continuing to progress as more national employers such as JP Morgan continue to change their mandate to five days a week, adding to a chorus of large office users like Amazon, realizing the benefits of more in office interaction. In many cases, these users have discovered they don't have enough space to accomplish this shift and are exploring expansion options, something we've seen in our own portfolio as George will touch on in a moment. Against the strengthening backdrop, however, macroeconomic uncertainty emerged during Q1, causing national gross leasing volume to slow moderately after reaching post-pandemic highs in late 2024. Net absorption turned negative again driven in large part by federal lease terminations mostly impacting DC Metro and albeit still reflecting a 60% improvement from the first quarter of 2024. Also a positive new development, deliveries on a quarterly basis fell to their lowest level in over a decade and groundbreaking continues to be scarce with less than 1 million square feet started during the first quarter. As we've seen in our operating markets, the lack of renovations from capital starved owners suffering from tenancy losses and debt related issues benefits well capitalized owners like Piedmont as the flight to quality intensifies. While these macro factors should continue to benefit Piedmont's ability to lease space, we're mindful of the current economic volatility and the uncertainty it brings. That said, and certainly bearing a recession, we believe we're on track to meet or exceed our 2025 goals. Over the past 18 months, Piedmont has leased over 3.6 million square feet, or approximately 24% of its operating portfolio, with an additional 1.1 million to 1.2 million square feet of leasing budgeted for the remainder of 2025. Leasing momentum remains strong, including over 275,000 square feet of leases signed during the month of April. We're experiencing increased demand for our buildings from full floor and larger tenancy, particularly in Dallas, Atlanta, in Minneapolis. As a result of our recent leasing success, our backlog at year-end of $46 million is now $67 million of annualized revenue that are from leases yet to commence or in their free rent period. Furthermore, because of the unprecedented level of leasing, the gap between lease percentage and economic lease percentage or cash paying tenancy is at its widest in over a decade at 10.6%. We expect Piedmont's leasing success to maintain its current momentum as our legal stage pipeline has faced minimal disruption despite broader economic uncertainties. If leasing activity continues as anticipated and Piedmont maintains its current dividend payment absent any dispositions which are difficult to forecast in this uncertain environment, the company would need to increase its leverage to fund this future growth. We believe that taking on additional leverage would not be prudent as it could impede long-term growth and constrain our liquidity and access to capital. Due to this unique period in our corporate life cycle where Piedmont is experiencing significant capital outlay to fund tenant improvements and leasing commissions, while simultaneously having a sizable percentage of our portfolio not paying cash rent, management and the Board have made the decision to suspend the dividend. This decision aims to fund accretive long-term growth and retain a larger portion of the company’s earnings to do so, which are our lowest cost of capital. Additionally, we can utilize any remaining retained earnings to reduce leverage on the balance sheet and enhance our debt metrics. Together, suspending the dividend and subsequent reduction in borrowings is expected to result in up to $0.01 of accretion in 2025. These actions will position Piedmont with a stronger balance sheet and a clearer path to earnings growth in 2026 when the leases in process commence. In summary, we believe the action to suspend the dividend will be accretive for shareholders in the medium and long-term as we deploy our retained earnings generating an average unleveraged return in excess of 25% on this invested leasing capital. Our capital is extremely precious resource that will be best used to fund growth by leasing our unique modernized hospitality infused properties and we’re experiencing record levels of tenant interest across both our operating and out-of-service portfolios. The market’s demand for our assets remains at record levels in terms of tours and proposal activity, including approximately 300,000 square feet of proposals in the legal stage for our out-of-service portfolio. I’ll now hand the call over to George who will go into more details on the leasing pipeline and first quarter operational results. George?
George Wells: Thanks, Brent. Piedmont’s premium office space continues to attract and retain customers that value a modern highly amenitized workplace environment. Creating that special place is more than just renovating a project’s common areas. It’s also about balancing impactful design with a range of purposeful social spaces. During the first quarter our Galleria 600 lobby rejuvenation was awarded the Best of Special Projects award from the International Interior Design Association’s Georgia Chapter. Our market leading place making efforts are being recognized and are contributing to consistent positive quarterly results. During the first quarter we completed 57 transactions for approximately 363,000 square feet of total overall volume, well on track towards our overall goal of 1.5 million square feet and evenly split between new deal and renewal activity. Regarding new deal transactions, approximately 80,000 square feet commences in the first half of 2025 and 100,000 square feet commences in the first half of 2026 with an overall new volume delivering a weighted average lease term of 10 years. Expansions exceeded contractions for the third straight quarter, a clear sign of more in-office attendance. Our trailing 12 month retention came in at 67%. Lease economics were very favorable with an approximately 10% and 19% roll up or increase in rents for the quarter on a cash and accrual basis respectively. Our leasing capital spend of $6.69 per square foot was slightly elevated when compared with the past several quarters as several law firm deals were completed. However, this translated into higher than average rental rates near $47 per square foot as compared to $38 per square foot in 2023. Sublease availability continues to hover around 5% with only 10,000 square feet expiring in 2025. Atlanta was our most active segment this quarter, closing on 12 deals for 122,000 square feet or a third of the company’s overall volume with eight new transactions for 99,000 square feet completed across our three submarkets which consists of two infill locations in Central Perimeter and Galleria, Cumberland and the most vibrant urban submarket in Atlanta and home of our two trophy towers Midtown. Most notable, our local team landed a law firm for 30,000 square feet at 999 Peachtree for a 14 year term and is the first lease or step in accomplishing our goal of quickly re-tenanting the Eversheds space, which sits prominently in the upper portion of the tower and expires in the second quarter of 2026. This transaction also achieved a new rental rate high starting at $55 per square foot, substantially higher than the expiring lease rate of approximately $39 per square foot. We’re bullish about backfilling this block over the near-term as premium quality space in Midtown is scarce and our pipeline is quite active, which should translate into strong rental rate roll ups as we re-tenant the space. Also at 999 Peachtree, an existing law firm doubled its footprint to accommodate internal growth and more in-office attendance and will now occupy two full floors. Elsewhere in Midtown, the Midtown Improvement District announced that it has entered a contract to purchase a prime 4 acre undeveloped site on 14th Street which is adjacent to our 1180 Peachtree Street skyline defining tower to create a permanent signature public space that would be the hub for arts and cultural experiences that are uniquely Atlanta. We’re excited of the news that this would provide our 1180 customers with unparalleled views forever and direct access to the park, removing one of the most attractive developable sites in Midtown and adding value to our investment. Orlando garnered the second most activity in our portfolio, capturing 23% of the overall volume including our largest renewal this quarter. Orange County a AA- S&P rated government agency renewed its entire 50,000 square foot block downtown at the Exchange, our most recently transformed tower that continues to hit new top of the market rental rate highs. I’d like to remind everyone that 8.6% of our government ALR exposure relates to state or local government entities and only 0.2% relates to GSA or federal agencies. With regards to the New York City lease at 60 Broad, we remain confident in extending a majority of its lease and anticipate a year end amendment execution. Back to Orlando, our full building headquarters lease at 501 West Church with Travel + Leisure was awarded CoStar’s 2025 Impact Award reinforcing Downtown’s vitality and effectiveness in attracting high quality tenants. In Dallas, the most notable news arrived after the first quarter. In April, our local team executed a 12 year lease with a global insurance broker, a three gallery office tower for 93,000 square feet that largely backfills Ryan space and is scheduled to expire in the second quarter. The tenant selected Galleria for its exceptionally accessible and central location to accommodate its merger and consolidation plan. Commencement is projected for May of 2026 and we're achieving $55 per square foot rates at this asset, the highest in the Lower Tollway submarket. Coming back to the overall portfolio, we're cautiously optimistic about near-term leasing prospects. Our leasing pipeline is strong with approximately 750,000 square feet executed or in a legal stage, largely for current vacant space and above our total volume quarterly norm. Outstanding proposals tend to 3 million square feet for both our operating and or out of service portfolios higher than a trailing 12 months. Our supplemental report shows a manageable 5% of square feet expired for the remainder of this year. Assuming there's no material surprise for the U.S. economy, we remain comfortable in achieving our previously released year-end lease percentage guidance of 89% to 90%. I'll now turn the call over to Chris Kollme for his comments on investment activity. Chris?
Chris Kollme: Thanks, George. I'll just provide a very brief update. Last quarter we reported that we were in advance negotiations for the disposition of two small non-core assets and I'm pleased to report that one has closed and the other is expected to close later this quarter. Combined, these two deals will generate approximately $35 million in gross proceeds. We have another two to three assets that are currently being marketed, but it is too early to comment on specifics or to speculate on timing. On the acquisitions front. We remain engaged in each of our key markets and continue to think creatively about ways to leverage our operating platform while conserving our capital resources. With that, I'll pass it on to Sherry to cover our financial results. Sherry?
Sherry Rexroad: Thank you, Chris. While we will be discussing some of this quarter's financial highlights today. Please review the entire earnings release and the accompanying supplemental financial information, which were filed yesterday for more complete detail. Core FFO per diluted share for the first quarter of 2025 was $0.36 versus $0.39 per diluted share for the first quarter of 2024. Approximately a $0.01 of the decrease is due to increased net interest expense. As a result of refinancing activity over the past 12 months, with the remaining decrease attributable to lower reported rental income due to the sale of two properties, as well as downtime associated with the expiration of a few large leases over the last 12 months. The lease with Travel + Leisure in Orlando will commence in the fourth quarter and provide approximately $5.7 million of additional annualized rent. That's 1% of ALR, or one third of our executed but uncommenced future revenue. AFFO generated during the first quarter of 2025 was approximately $23.5 million in line with the last several quarters and CapEx returned to more normalized levels during Q1 as we wrapped up several major building redevelopment projects around year end. Turning to the balance sheet. We covered the Q1 refinancing activity that Brent mentioned in detail on our last call. So I won't go into the particulars again, but rather just highlight that we currently have no final debt maturities until 2028 and approximately $500 million of availability under our revolving line of credit. Based on the current forward yield curve, we expect all of our unsecured debt maturing for the rest of this decade will be refinanced at lower interest rates and thus be a tailwind to FFO per share growth. At this time, I'd like to affirm our 2025 annual core FFO guidance in the range of $1.38 to $1.44 per diluted share, with no material changes to our previously published assumptions. Based on the timing of when certain leases are scheduled to commence, we currently anticipate core FFO will dip a bit over the next two quarters and then improve in Q4 as some larger recently executed leases, such as the Travel + Leisure lease in Orlando commence, with NOI continuing to improve in 2026. Please refer to Page 26 of the supplemental information filed last night for details of major leases that have not yet commenced or currently in abatement. As of March 31, 2025, the company had 1.9 million square feet of executed leases yet to commence or under abatement. This future cash flow is testament to the leasing success of the team and will fuel future earnings growth, although it does demand additional capital spend as Brent outlined. With that, I will turn the call over to Brent for closing comments. Brent?
Brent Smith: Thank you, George, Chris and Sherry. We here at Piedmont remain laser focused on our core business designing, leasing and managing best-in-class work environments. We believe that the recent investments that we made in our portfolio combined with our customer centric place making mindset continue to set us apart in the office sector and we will continue to garner more than our fair share of the leasing market. We will be selective with capital deployment and concentrate our resources on driving lease percentage and increasing rental rate, which will ultimately result in FFO and cash flow growth. With that, I will now ask the operator to provide our listeners with instructions on how they can submit their questions. Operator?
Operator: Thank you. At this time we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Dylan Burzinski with Green Street. Please proceed.
Dylan Burzinski: Hi guys, thanks for taking the question. Just wanted to touch on sort of the leasing pipeline and decision to sort of keep guidance maintained. Obviously good leasing so far to date in April, positive commentary on sort of the leasing pipeline and touring activity. So it just sounds like you guys are on track to sort of exceed some of the leasing targets that you guys outlined in guidance or reaffirmed in guidance, I should say. So just curious, sort of is there some conservatism baked in given heightened macro uncertainty today?
Brent Smith: Hi, Dylan, it's Brent. Appreciate you joining us this morning and good question. Jumping into it, the leasing pipelines we noted in the earnings release, very strong at roughly 750,000 as we – in total as we talked about 275 of that 750 has been executed in the month of April. The remaining portion we would expect to be executed in the next call it two to four months or so. But overall good momentum. And behind that, as George alluded to, our pipeline for tour activities and overall proposals are at record levels over 3 million square feet. But as we all know, it takes a long time from lease to construction to commencement and then into free rent period onto cash paying rents. And so while we have a strong leasing pipeline, I wouldn't imagine it to impact guidance for 2025, but certainly would continue to bolster growth for 2026. As you know, we have about 1.1 million to 1.2 million square feet to accomplish post the first quarter and we've already done a significant number of that already in the month of April. If we also backed out the New York City lease, which is again over 300,000 square feet, given what we've got remaining in the pipeline, it is potentially possible that we would accomplish our leasing goals sometime around late summer. If I had to estimate if the economy holds up and our legal stage pipeline holds up as well, which we've not seen any deterioration in that. So you're correct. It is conceivable that if the strength in the markets hold true, then on the second quarter's earnings call, we may revise our leasing volume guidance for the year up potentially 200,000 square feet or more depending on what we continue to accomplish on the leasing side. We are cautious just given post Liberation Day a lot of uncertainty in the market. But again, as I noted, we have not seen a deterioration and we are still seeing large users, i.e., the backfill tenant for Ryan, which we executed in the month of April for about 95,000 square feet in our Dallas Galleria building. And we're just not seeing that right now waiver. But we'll revisit that in the second quarter when we have just a little bit more clarity around that pipeline and more clarity around the impact of the uncertainty in the market. But we still remain very cautiously optimistic that that would be the case.
Dylan Burzinski: Awesome. That's great details, Brent. Appreciate that. I guess just one more for me. I mean, obviously, historically wide gap between lease percentage and economic lease percentage in the portfolio today, as you guys alluded to in your prepared remarks. So I guess are you able to help sort of frame when you think you can get back to. I think the historical spread was closer to 500 basis points versus over 1,000 basis points today. When you expect that gap to close that largely a 2026 [ph] then or do you expect that sort of close over the next few years as leases start to commence? Can you just help frame like the timeline on when that should largely compress?
Brent Smith: Yes. So, suspension of the dividend is going to provide approximately $60 million of additional cash flow annually retained within the company. And given that we are going to have a partial year of suspension this year in 2025. Those retained earnings are going to be mainly earmarked for internal growth, just continuing the leasing momentum. And we certainly don't want the team to put pencils down, you will, after late summer. So that'll be earmarked for the internal growth. As we move into 2026 and more leases begin to cash flow, we'll be able to have some excess retained earnings that could be utilized to pay down debt or likely continue to fund a lot of leasing momentum as well. So I think we're hesitant to kind of say when things would definitively be reevaluated and a dividend turned back on, but I would imagine it would be latter part of 2026 at the earliest, given the focus that we have begin to remain, continue to have excess liquidity and continue to improve the balance sheet.
Dylan Burzinski: Thanks. That's it for me. Really appreciate it.
Operator: The next question comes from Nick Thillman with Baird. Nick, please proceed.
Nick Thillman: Hey, good morning, guys. Brent, maybe just circling back on the dividend, kind of maybe walk us through some of the thoughts behind it. Maybe what – was there any pressure from the banks when it comes to lending? How much with not being fully funded? Is then maybe on the rating agencies what kind of metrics they're looking at when evaluating you guys because you said that played a part? And then kind of what you have earmarked for kind of TIs and CapEx out of the dollars that are going to be saved from that.
Brent Smith: Great series of questions, Nick. I'll try to tackle those one at a time. And again, thanks for joining us today. First, just around our thoughts around the dividend. Piedmont is a company we've leased since the pandemic over 10 million square feet – about 10.3 million square feet and remarkably about a third of that has been in the last 18 months or so, 3.6 million square feet. And that equates to about a quarter of the operating portfolio as it stands today. So we have record levels, if you will, of uncommenced and free rent tenancy. So while our earnings and EBITDA remain very strong, right now we're in a period unique to the company's life cycle where cash flow is diminished from rent and we have a lot of leasing momentum and we want to continue that momentum. And so really as we thought about sources and use, sorry, use sources of that capital to fund that growth, of course there were dispositions as an alternative. However, given again post Liberation Day, the uncertainty of accomplishing those dividends, sorry, those dispositions just continue to come into play and recognizing that we still have a couple of assets under contract, but certainly I think the probability of closing has diminished slightly. But we still are hopeful and expect that they will go to closing some time this year. But we couldn't rely on that as a source. As we thought about, raising equity, I think where our current share price stands today, that also really doesn't make a lot of rationale from a finance perspective. We thought about, yes, you could utilize leverage. We have ample capacity in our line of credit and certainly a lot of support from our banking relationships. We just recast a term loan and a number of those banks stepped up in more capacity and we recast our entire line of credit at the same level again with a lot of support from those same level of banks. So we had the opportunity to utilize debt. But as we look at the cost of that debt and/or the costs that the retained earnings come into play, it's certainly a lower cost of capital right now to utilize retained earnings. And then continuing to be mindful of our unsecured credit rating and our commitment to remain investment grade also came into play by, I would say, the rating agencies and we've actually toured all three of those groups through our portfolio particularly here in Atlanta in the last, call it, two months or so, they are very supportive of the leasing that we've accomplished, the proactive nature that we've taken in refinancing our maturing debt. And I think they're very supportive of this proactive approach too, to funding these leasing and CapEx requirements that are really good news and going to continue to increase the earnings of the company, particularly in 2026 and beyond. So then finally to touch on your last part, really kind of what portion is denoted to TI and CapEx versus other uses? I'd say again, for probably the next year or so, it's going to predominantly go into the leasing bucket or use, if you will, because of the velocity that we see in our portfolio and then with a likelihood that CapEx might dwindle or reduce in 2026. So we might be able to utilize some of that excess cash flow saved from the dividend to pay down debt or to consider external growth opportunities. But I think our priority right now, if I had to rank them, obviously fund the capital for leasing, generating returns of greater than 25%, then focus on the balance sheet and then third would be acquisition opportunities. And those would likely be distressed situations that we focus on that frankly may not fit our balance sheet today, and in which case we probably look to utilize a JV partner. And we have talked to some groups that see our platform success in our own portfolio and would like to partner with us. But at the moment we don't see anything right now that's imminent from an acquisition perspective. And I think obviously what we've seen Post-Liberation Day is going to make put a little bit of a wet blanket on the transaction and capital markets at the asset level probably for several months, but we'll continue to be thoughtful and evaluate those opportunities as they come. But for right now, again, focused on leasing, leasing and leasing.
Nick Thillman: That was a lot of questions and very helpful answer. So I appreciate that. And then quick one just on George, the 3 million square feet of proposals, that's a pickup quarter-over-quarter. Any markets you're noticing, I know you highlighted kind of Dallas, Atlanta and Minneapolis in particular, but any of the other markets seeing a pickup as well? Or is it those three kind of driving that, that uptick?
George Wells: Good morning, Nick, and welcome. I would tell you those three markets is where most of our vacancies sit. So it's not surprising that 87% of our new activity coming in that proposal type pipeline is heading in that direction. I mean, New York and Orlando is pretty stable. Right. We're sitting in the lower to mid-90s. I'd say, Boston is probably still sitting around 86% for us, although I would say, it's not quite the velocity of the first few markets that I mentioned, and then Dallas is kind of just sitting stagnant at this point.
Nick Thillman: That's it for me. Thank you, guys.
Operator: If there are any remaining questions…
Brent Smith: Just to clarify Nick there, George meant D.C. was not Dallas. D.C. he misspoke, was flat. Sorry. Go ahead, operator.
Operator: Absolutely. [Operator Instructions] Okay, we have no further questions in the queue. I will now turn the floor back over to Brent Smith for any closing remarks.
Brent Smith: I want to appreciate everyone for joining us here today again at Piedmont. We are extremely excited about the volume and the success we're having on the leasing front that will lead to operational growth and excited about where the platform is headed. Obviously, a lot of leasing accomplished in April. We are going to continue to update investors. We have Wells conference next week, May 6 and May 7 for Wells Fargo. And then of course, first week in June will be Nareit our REITweek Conference held in New York. So I'd encourage investors to come to Atlanta, spend time with management or contact Sherry, Jennifer to have a chance to set up a one-on-one at either of those conferences. Again, thank you everyone. We look forward to continuing to update you on the leasing front. Have a great day.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.